Executives: Karen Kraus Phillips – VP and Director, IR Terrence W. Cavanaugh – President and CEO Marcia A. Dall – EVP and CFO George Chip Dufala – EVP, Services John F. Kearns – EVP, Sales and Marketing James J. Tanous – EVP, Secretary and General Counsel Michael S. Zavasky – EVP, Insurance Operations
Analyst: Adam Klauber – William Blair & Company, L.L.C.
Operator: Hello and welcome to the Erie Indemnity Company Fourth Quarter 2011 Earnings Conference. I’d like to introduce your host for today’s conference call, Karen Kraus Phillips, Vice President of Investor Relations.
Karen Kraus Phillips: Thank you, Duane and good morning, we appreciate all of you joining us. On today’s call management will discuss our fourth quarter 2011 results and other matters. Joining me are Terry Cavanaugh, President and CEO; Marcia Dall, Executive Vice President and Chief Financial Officer; Chip Dufala, Executive Vice President, Services; John Kearns, Executive Vice President, Sales and Marketing; Jim Tanous, Executive Vice President, Secretary and General Counsel; and Mike Zavasky, Executive Vice President, Insurance Operations. Our earnings release and financial supplements were issued yesterday afternoon and these have been posted on our website erieinsurance.com. As a reminder, Indemnity’s fourth quarter 2011 results do not include the results of the property and casualty insurance operations or life operations that were sold to the Exchange. On today’s call, management will share important information about current and future company initiatives, as a result forward-looking statements may be incorporated into their comments. These forward-looking statements reflect the company’s current views about future events and are based on assumptions subject to known and unknown risks and uncertainties. These risks and uncertainties may cause results to differ materially from those anticipated as described in those statements. For information on important factors that may cause such differences, please see the Safe Harbor statements in our latest 10-K filing with the SEC dated February 27, 2012 and in the related press release. In this call we will discuss non-GAAP measures you can find the reconciliation to the GAAP based results in the 10-K. This call is being recorded and the recording is the property of Erie Indemnity Company. It is not intended for reproduction or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. A replay will be available on our website today at 12:30 p.m. Eastern Time. Your participation on this call will constitute consents to the recording, publication, webcast, broadcast and use of your name, voice and comments by Erie Indemnity, if you do not agree with these terms, please disconnect at this time. I'll now turn the call over to Erie’s President and CEO, Terry Cavanaugh. Terry?
Terrence Cavanaugh: Thank you Karen and good morning everyone. Our 2011 results reflect the benefit of consistent growth in fee revenue, solid investment performance, continued support of our agents and employees and execution of robust dividend and share repurchase plans. We finished 2011 with $0.49 of net income per share in the fourth quarter which gave us $3.08 of net income per share for the year. Direct written premium of the property casualty group which drives Indemnity’s management fee revenue remained strong, up nearly 7% in the fourth quarter and up 5.9% for the year. This strong growth in direct written premium reflects growth in policies enforced and higher average premium per policy. Our continued strong retention rate of 90.7% was the primary driver of our increase in policies enforced. We added more than a half a million new policies in 2011, new policies were down compared to the strong growth we experienced in 2010. In the fourth quarter 2011, we began to see this trend reverse given its new policy year-over-year growth momentum going into 2012. Our average premium per policy continues to grow as we work toward achieving the appropriate premium for the risk we ensure. In 2011 this is reflected primarily in our property lines of business such as homeowners and commercial multi-peril. As a result of strong premium growth and a continued focus on expense management, Indemnity’s management operations income grew to $208 million at year end 2011 compared to $202 million the prior year. Our management fee rate for both years was 25%, and in December meeting our Board of Directors voted to maintain a 25% fee rate going forward in 2012. Now, Marcia will review the financial results from the fourth quarter and full year. Marcia?
Marcia Dall: Thank you, Terry and good morning. Today I’ll share results for the fourth quarter and full year 2011. First, let’s look at our fourth quarter results. After tax net income for the fourth quarter 2011 was $26 million compared to $12 million for the same period a year ago. On a per diluted share basis, net income was $0.49 per share in the current quarter compared to $0.22 per share in the prior year quarter. Fourth quarter net operating income was $25 million and $0.47 per share compared to $17 million and $0.32 per share in the prior year quarter. Both net income and operating income results in the fourth quarter 2010 include $0.13 per share of income related to the operation sold to the Exchange and a $0.31 per share charge for deferred tax expense related to the sale of Indemnity’s ownership interest in Erie Family Life. Now, I’ll review the results of our management operations. Income before taxes for our management operations was $34 million compared to $29 million in the fourth quarter 2010. Management fee revenue was $251 million in the fourth quarter 2011 up 6.6% from the prior year and consistent with the growth in direct written premiums. Our premium growth is primarily a result of a 2.5% increase in policies and a 3.3% increase in average premium per policy. Operating costs were up $10 million or 5% over the prior year period to them primarily $0.8 million increase in non-commission expenses. This primarily represents increases in technology and agent related expenses. The gross margin from our management operations in the fourth quarter 2011 was 13% compared to 12% a year earlier. It is important to note our fourth quarter gross margin is typically lower due to the seasonality of our written premiums and management fees. Now, turning to the results of our investment operations. Indemnity recorded a profit before taxes of $7 million compared to a profit before taxes of $11 million in the prior year quarter. It is important to note that the fourth quarter 2010 investment results included $6 million of profit before taxes related to operations sold to the Exchange. Net investment income was $4 million for the fourth quarter 2011 down from $9 million in the prior year quarter. The fourth quarter 2010 includes $6 million of net investment income related to the operations sold to the Exchange. Net realized gains on investments were $2 million compared to losses of $8 million in the fourth quarter of 2010. The net realized gains generated in the fourth quarter 2011 were primarily due to increases in the valuation of our common stock portfolio. The net realized losses in the fourth quarter 2010 was primarily due to the sale of several limited partnership investments which was part of a tax planning strategy to recapture tax paid from previous period capital gains that were due to expire. Our income from equity and limited partnership investments was $1 million in the fourth quarter 2011 compared to income of $10 million in the prior year quarter. This difference was driven primarily from lower earnings from the private equity portion of our portfolio. Now, I’ll move on to our full year 2011 results. Indemnity’s net income totaled $169 million or $3.08 per share diluted compared to $162 million or $2.85 per share diluted in 2010. Net Operating income increased to $167 million or $3.04 per share from a $163 million or $2.88 per share in 2010. As we’ve mentioned before our net income for 2010 and 2011 financials were impacted by the operation sold to the Exchange. Specifically the 2011 financials included $0.02 per share related to the sale. The 2010 net income and net operating income include $0.47 per share and $0.42 per share respectively related to the sale. As a reminder the 2010 financials also include a charge of $0.31 per share for deferred tax expense related to the sale of Indemnity’s minority ownership interest and Erie Family Life to the Exchange. Income before taxes in our management operations was $208 million compared to $202 million a year earlier. The 2011 result was driven primarily by a 5.9% increase in the direct written premiums on the property and casualty group. We’ve seen a consistent progression in our premium growth throughout 2011 as we had more policies, maintain our strong retention of current customers and gain increases in average premium per policy. Turning back to our management operations for the year, the gross margin decreased to 18.9% in 2011 from 19.4% in 2010. And finally, the results of our investment operations, we ended the year with profit before taxes of $45 million compared to profit of $56 million in the prior year. The 2010 investment results included $29 million of profit before taxes related to operations sold to the Exchange. Now, let’s look at our share repurchases for the fourth quarter and full year. During the fourth quarter 2011, we repurchased approximately 300,000 shares of our Class A common stock at a total cost of $23 million. For the full year 2011, we repurchased approximately 2.2 million shares at an average price $70.53 per total cost of approximately a $155 million. In October 2011, based on our strong financial position, our Board of Directors approved the continuation of the current stock repurchase program for total of $150 million with no time limitation. As of February 17, 2012, we had approximately $128 million in repurchase authority remaining under the program. Now, I’ll turn the call back over to Terry.
Terrence Cavanaugh: Thank you, Marcia. In addition to continuing our share repurchase program, our Board confident and the strength of our balance sheet increased the regular quarterly cash dividend 7.3% on each Class A and Class B share in December. Behind our positive financial results is the ongoing commitment of Erie employees and agents to execute effectively and deliver on our strategy. We’ve three areas of focus in 2012, ease of doing business, service and innovation. The first area of focus for 2012 is ease of doing business for agents, customers and employees. Our agents are asking for and with their help we’re working on enhancements to our technology platform with primary focus on personal and commercial lines. Our light business made progress toward improving ease of doing business for agents in 2011, particularly with the introduction of e-applications with e-signature and TeL App. The majority of our agencies are now using these new tools to write light business. We expect continued efforts like this in 2012. We’re also working to make it easier for our customers to use online service options such as bill payment and online policy access. Second, we’re committed to delivering on our promise to be above all in service. Service continues to be a primary reason why our customer retention is so strong. This past year brought with it one weather catastrophe after another. Even at these times, Erie employees and agents showed what it means to be above all in service. They worked to resolve claims quickly and helped our customers recover. In a year like this, I feel both grateful and proud to be part of the Erie Insurance team. People put their financial security in our hands and it’s our job to deliver when they need us. We do this well, but we cannot be complacent. We continually look for new and better ways to fulfill and frankly exceed our customers’ expectations. It’s our responsibility to ensure our current workforce has the tools, training and resources to fulfill and sustain our promise of service. Our third area of focus in 2012 is innovation. From the simplistic to the more complex, innovation gives us ways to set Erie apart from the competition, in pricing and product design, in processes and people and in technology. We’re working to instill a mindset of innovation within the organization, so that all Erie employees can contribute to building a better organization for today and for the future. We close 2011 with a strong finish and have a good momentum going into 2012. Now, let’s get to your questions, operator you can open up the call.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Adam Klauber with William Blair.
Adam Klauber – William Blair & Company, L.L.C.: A number of your lines of business have obviously showing strong momentum, homeowners, commercial property workers comp and it seems like you’re both growing stiff and also rate. Do you think you can maintain that momentum in those lines going into 2012?
Terrence Cavanaugh: Good morning, Adam. I think we can, I think again it’s a combination of again the marketplace and our need as well as again being able to work with our agents to do that. The important thing for any crawlers remember that we’ve a long term perspective in terms of the way we manage the business and I think a lot of the results you see that we produce this year are result of that study as you go pricing mentality, screened focus on our agents and doing what’s right from the service standpoint for both our agents and our customers. So, we’re very excited about 2012.
Adam Klauber – William Blair & Company, L.L.C.: Okay. And can you talk about the competitive environment in auto is that in the last six months or so getting any more or less competitive?
Terrence Cavanaugh: I would say, it’s been fairly steady, I think again, those that are concentrating on personal lines and then spending a lot of time obviously on the property lines, homeowners it’s been a year of extreme weather events and so that’s been taking a lot of time in terms of our competitors and ourselves. And so, I would say the automobile line of business is pretty consistent in terms of again underwriting appetite and pricing.
Adam Klauber – William Blair & Company, L.L.C.: Okay. The cost to management operations, expenses grew a fair amount this quarter, do you think that’s more outside this quarter because of couple of issues you mentioned?
Terrence Cavanaugh: Again, we don’t look at it on a – we look it in the long term basis in order to how we need to invest in our business to make sure again that we would have a strong value proposition and so it could be a bit lumpy from the standpoint. But again, we’re doing things that we think are appropriate both in terms of technology, in terms of marketing the business and so, I think, some of that will again pay dividends for customers and agents going forward.
Adam Klauber – William Blair & Company, L.L.C.: Okay. So again, as we look 2012, it seems like there is good momentum in the book of business, would you expect that to, not asking for specific number but would you expect that momentum to translate into marginal expansion?
Terrence Cavanaugh: I don’t particularly like to talk about the future results. I think, again, we have to take one month at a time and one quarter at a time when we look forward to be able to execute on our business plan this year.
Adam Klauber – William Blair & Company, L.L.C.: Okay. Okay, that’s all the questions I had, thank you. Thank you very much.
Karen Kraus Phillips: Thanks Adam.
Operator: (Operator Instructions) And I’m showing no further questions in the queue. I’d like to turn it over to our speakers for any closing remarks.
Karen Kraus Phillips: Thank you, Duane. As a reminder a recording of the call will be posted on our website erieinsurance.com after 12:30 p.m. Eastern Time today. If you have any questions, please call me at 814-870-4665. Our 2012 Annual Meeting of Shareholders is scheduled for Tuesday, April 17, at 09:30 a.m. Eastern Time at our home office Erie Pennsylvania, we hope to see you all there. Thanks again and make it a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This conclude the program, you may all disconnect. Everyone have a great day.